Operator: Good day ladies and gentlemen and welcome to the Laboratory Corporation of America Holdings’ Third Quarter 2015 conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. If anyone should require assistance, please press star then zero on your touchtone telephone. As a reminder, this conference is being recorded. I will now turn the call over to your host, Paul Surdez, Vice President of Investor Relations. Please go ahead.
Paul Surdez: Good morning and welcome to LabCorp’ third quarter 2015 conference call. As detailed in today’s press release, there will be a replay of this conference call available via telephone and internet. With me today are Dave King, Chairman and Chief Executive Officer; Glenn Eisenberg, Executive Vice President and Chief Financial Officer; James Boyle, CEO of LabCorp Diagnostics, and Deborah Keller, CEO of Covance Drug Development. In addition to our press release, we also filed a Form 8-K this morning that includes additional financial information. Both are available in the Investor Relations section of our website at www.LabCorp.com and include a reconciliation of non-GAAP financial measures discussed during today’s call to GAAP. Finally, we are making forward-looking statements during today’s call. These forward-looking statements include, among others, statements about our expected financial results, the implementation of our business strategy, and the ongoing benefits from acquisitions. These statements are based upon current expectations and are subject to change based upon various factors that could affect our financial results. Some of these factors are set forth and detailed in our 2014 10-K and subsequent filings with the SEC. We have no obligation to provide any updates to these forward-looking statements even if our expectations change. Now I’ll turn the call over to Dave King.
David King: Thank you, Paul, and good morning. LabCorp had another impressive quarter in which we delivered excellent revenue growth, double-digit earnings growth, and solid operating and free cash flow. Both LabCorp Diagnostics and Covance Drug Development turned in strong performances, and Glenn will update you on these results in a few moments I would like to spend my time today updating you on our progress towards the strategic and financial objectives we set out for our combined companies following our transformative acquisition of Covance. In January, we announced our Wave 1 priorities for our combined companies: use of data to improve trial recruitment, leadership in companion diagnostics, and innovation in the use of real-world evidence. We set a goal of $150 million in incremental revenue by the end of 2018 for use of data, $100 million for companion diagnostics, and $50 million for real world evidence. Now, eight months after closing, I would like to tell you where we stand with these initiatives. First, we continue to feature the utility of our patient database as a competitive differentiator. We have been awarded four major pieces of business by adding LabCorp data to Covance proposals, and these wins have contributed nearly $100 million in new orders to our backlog. In tracking this figure, we include only awards in which the sponsor specifically identified LabCorp’ data as influencing the selection of its CRO partner. We continue to receive multiple requests for our patient data from large and emerging pharma customers seeking insights into clinical and commercial questions across multiple therapeutic areas. Sponsor awareness of our unique capability is increasing and we are well on our way to achieving $150 million in incremental revenue by 2018. Second, we continue to advance our industry leadership in the development and commercialization of companion diagnostics. Last month, we again demonstrated that leadership in both development and commercialization as we announced the launch of two innovative diagnostic assays linked to novel immuno-oncology drugs. Our central laboratory was the exclusive provider of testing in registration trials that supported the regulatory approval of these tests. We have been involved in the development and launch of approximately 70% of all companion diagnostics since inception in 1998, and we are actively working on a sizeable number of ongoing companion diagnostic programs in this increasingly important category of biopharma research and development. New orders have remained strong since the acquisition with programs expanding beyond oncology, and I am confident in our ability to generate $100 million in incremental revenue in this area by 2018. Third, in addition to our unique combination of high-end laboratory testing and global drug development capabilities, we possess enormous assets around diagnostic information. This includes our direct connection to patients, over 15 billion test results, demographic information, an extensive database of investigators and trial sites, and the largest cohort of genetic counselors in the industry. Supported by our technology-enabled solutions, we are ideally positioned to create large databases, facilitate patient access to trials, gather real-world evidence of disease state prevalence and market size, provide interpretation of diagnostic results, and combine patient, site and disease state information into innovative new value creators. Customer response to these real-world evidence capabilities has been strongly positive, and we look forward to generating at least $50 million of new revenue in this category by 2018. Fourth, Covance’s central lab business has expanded and further differentiated its capabilities through the addition of LabCorp’ genomic, genetic and anatomic pathology testing. Because of our unrivaled combination of test menu, quality, clinical and scientific expertise, we continue to strengthen our market-leading position and deliver strong results. In short, the strategic theses of our combination are rapidly translating to financial success, and the proof of the growth opportunity for our combined company is increasingly compelling. While I am speaking about innovation, I will provide an update on BeaconLBS. BeaconLBS continues to perform well, contributing $18 million or 1.2% to our organic revenue growth in the quarter, although in this pilot phase it remains a drag on overall margin. In addition, the BeaconLBS team’s goal of delivering the right test to the right patient at the right time through the highest quality laboratory network is rapidly being realized. In barely six months of full implementation, utilization trend in the pilot market has improved and adherence to testing guidelines has increased. Out-of-network lab spend has declined, leading to a decline in overall lab spend for our partner. We are optimistic that this solid evidence of achievement will continue and will expand the BeaconLBS opportunity. To close, I would like to thank all of our people around their globe. Their dedication to our strategic priorities during this period of exciting transformation is one of the company’s combined greatest strengths. Their commitment to delivering world-class diagnostic information, bringing innovative new drugs to market faster and using information to change the way care is delivered is inspiring, and it is gratifying to see this commitment translate to concrete results on so many fronts. As the world’s largest laboratory and leading healthcare diagnostics company, we are excited about and well positioned for the future. Now I’ll turn the call over to Glenn.
Glenn Eisenberg: Thank you, Dave. I’m going to start my comments with a review of our consolidated third quarter results, followed by a discussion of our LabCorp Diagnostics and Covance Drug Development segments, and then conclude with an update on our 2015 guidance. Revenue for the quarter was $2.3 billion, an increase of 46% over last year. The acquisition of Covance contributed $647 million during the quarter, driving 42% year-over-year revenue growth. The other 5% was driven by solid organic volume growth across both core and esoteric testing, as well as benefits from BeaconLBS, price mix, and tuck-in acquisitions that were partially offset by currency. Gross profit for the quarter $763 million or 33.6% of revenue compared to $571 million or 36.8% last year. The increase in gross profit was due primarily to the acquisition of Covance as well as organic volume, price mix and productivity partially offset by personnel costs. Personnel costs were up due to annual merit increases and normal headcount additions in support of our top line growth. The decline in gross margin was primarily due to the mix impact of Covance. Excluding Covance, gross margin would have been 36.7%, a decrease of 10 basis points versus last year. SG&A for the quarter was $383 million or 16.9% of revenue compared to $306 million or 19.7% last year. Excluding special charges of $5 million related to the acquisition of Covance, SG&A in the quarter was $377 million or 16.6% of revenue, a 270 basis point reduction versus last year’s adjusted SG&A. The increase in SG&A was primarily due to Covance and personnel costs partially offset by Project LaunchPad savings. The favorable reduction in SG&A as a percentage of revenue benefited from Covance’s lower SG&A rate and the reduction in our bad debt rate. Excluding Covance and special charges, SG&A as a percentage of revenue would have been 18.7%, an improvement of 60 basis points over last year. During the quarter, we recorded $32 million of restructuring charges and special items, primarily relating to severance and facility-related costs. Amortization expense for the quarter was $47 million, up from $18 million a year ago due to the impact of acquisitions. Operating income for the quarter was $307 million or 13.5% of revenue compared to $241 million or 15.6% last year. Excluding amortization and restructuring of special items of $79 million, adjusted operating income was $386 million or 17% of revenue compared to $271 million or 17.5% last year. Excluding the mix impact from Covance, adjusted operating margin would have been 18%, an increase of 50 basis points over last year. Interest expense for the quarter was $56 million compared to $26 million last year. The increase was due to higher debt balances following the acquisition of Covance. The tax rate for the quarter was 38.9%, higher than last year’s 37.2% rate due to the taxable nature of certain restructuring charges. Excluding special charges and amortization, the adjusted tax rate for the quarter was 35.5%, in line with our expectations. As a result, net earnings for the quarter were $153 million or $1.49 per diluted share compared to $137 million or $1.59 per share last year. Excluding amortization, restructuring and other special items, adjusted EPS was $2.07 in the quarter, up 15% from $1.80 last year. During the quarter, operating cash flow was $288 million compared to $176 million last year, with the increase due to the acquisition of Covance as well as improved earnings. Capital expenditures totaled $68 million, up from $53 million last year due to Covance. As a result, free cash flow was $220 million compared to $123 million last year. At quarter-end, our cash balance was $713 million compared to $619 million at the end of the second quarter. Total debt was approximately $6.7 billion and our liquidity was approximately $1.7 billion, consisting of cash and available credit. During the quarter, we invested $8 million in acquisitions and paid down $125 million of debt, reducing the company’s leverage to 3.4 times net debt to last 12 months pro forma EBITDA. Now I’ll review our segment performance. For comparative purposes, segment results are presented on a pro forma basis for all periods as if the acquisition of Covance closed on January 1, 2014, and exclude amortization, restructuring, special items and unallocated corporate expenses. Reconciliations of segment results to historically reported results are included in today’s press release and the current report filed today on Form 8-K. Now I’ll review the performance of LabCorp Diagnostics. Revenue for the quarter was $1.6 billion, an increase of 4.8% over last year. The increase in revenue was the result of organic volume growth measured by requisitions, BeaconLBS, price mix and tuck-in acquisitions, partially offset by currency. The increase in revenue of 4.8% includes the benefit from Beacon LBS of 1.2% and an unfavorable foreign currency translation of 1%. Total volume increased by 2.9%, of which organic volume was 2.3% and acquisition volume was 0.6%. Revenue per requisition increased by 1.7%, benefiting from price and mix as well as tuck-in acquisitions that have an overall revenue per requisition higher than the segment average. LabCorp Diagnostics adjusted operating income for the quarter was $330 million or 20.6% of revenue compared to $306 million or 20% last year. The increase was primarily due to volume, price mix and productivity partially offset by personnel costs and currency. Improvement in productivity was driven by Project LaunchPad, which delivered approximately $20 million of net savings during the quarter, bringing our year-to-date total to $45 million. We remain on track to achieve our goal of $150 million in savings over the three-year period ending 2017. Now I’ll review the performance of Covance Drug Development. Revenue for the quarter was $669 million, an increase of 2.6% over last year. The stronger U.S. dollar negatively impacted revenue growth by approximately 370 basis points. On a constant currency basis, revenue increased 6.3% over last year led by strong volume in the central lab and early development businesses, while the growth rate in the clinical business improved sequentially from the second quarter. Adjusted operating income was $97 million or 14.5% of revenue compared to $88 million or 13.6% last year. The increase in operating income and margin was primarily due to volume and cost synergies partially offset by personnel costs and mix. Personnel costs increased in part due to added headcount in the clinical business in advance of the initiation of awarded projects. We captured approximately $15 million of cost synergies during the quarter, bringing our year-to-date total to $30 million. We remain on track to achieve our goal of $100 million in savings over the three-year period ending 2017. Net orders during the quarter were $811 million, representing a net book-to-bill of 1.21, while backlog at quarter end was $6.7 billion. Now I’ll update our 2015 guidance. We expect revenue growth of approximately 41% inclusive of Covance as of February 19 after the impact of approximately 220 basis points of negative currency. We have assumed that foreign exchange rates stay at September 30, 2015 levels for the remainder of the year. We expect LabCorp Diagnostics to grow 4.5 to 5.5% in 2015 after the impact of approximately 90 basis points of negative currency. This is an increase from our prior guidance of 3.5 to 5.5% primarily due to continued strong organic growth. Covance Drug Development’s net revenue is expected to be in the range of minus-0.5% to plus-0.5% versus full-year 2014 after the impact of approximately 350 basis points of negative currency. This is an increase from our prior guidance of minus-1.5% to plus-0.5%. We expect 2015 adjusted EPS of $7.80 to $7.95 as we’ve narrowed the range from our prior guidance of $7.75 to $8. We expect operating cash flow in 2015 to be $970 million to $995 million versus our prior guidance of $990 million to $1.015 billion, and capital expenditures to be $250 million to $275 million versus prior guidance of $270 million to $295 million. As a result, free cash flow remains unchanged from our prior guidance of $695 million to $745 million. Excluding net non-recurring acquisition items of approximately $120 million, we expect free cash flow of $815 million to $865 million, unchanged from our prior guidance. This concludes our formal remarks and we’ll now take questions. Operator?
Operator: [Operator instructions] Our first question comes from Bill Bonello with Craig Hallum. Your line is open.
Bill Bonello: Good morning guys. On the lab side of the business, just want to probe a bit more about the movements that we saw in volume and price growth. Can you perhaps give us some sense of how much those growth rates were affected? You talked about some new business wins that were going to annualize during the quarter and maybe how much that impacted the volume growth, and if it had a corresponding impact on the price, and then maybe just any thoughts about where you would think of volume and price maybe shaking out as we look forward from here.
James Boyle: Hey Bill, this is Jay Boyle. How are you?
Bill Bonello: Great.
James Boyle: I want to touch on the volume, and Glenn will take the price. As you noted, in some of our prior calls we have indicated that we expected to see a little bit of a downward trend on our year-over-year organic growth beat, and that is exactly what’s happened as we’ve annualized the two contracts that you mentioned. However, we are seeing sequential volume growth quarter to quarter, and we’re very pleased with the 2.3% organic volume, the 2.9% overall. So that’s consistent with what we thought would happen, and again, we’re pleased with the result. Glenn, you want to talk about the price?
Glenn Eisenberg: Sure. Good morning, Bill. Overall, needless to say, we feel we had a good quarter from both of our businesses, but in the diagnostics business in particular, the strong growth in organic revenue and volume that Jay commented, as well as obviously our price per requisitions improving nicely as well through the combination of the acquisitions, the tuck-in acquisitions that we’ve done at higher price points, as well as favorable test mix overall. But we continue to leverage well in the business, and you see that reflected in the improvement in our operating margins.
Bill Bonello: So would it be safe to say that on the volume side, most of the sequential change in the growth rate is attributable to those business wins annualizing?
Glenn Eisenberg: Yes.
Bill Bonello: Okay, and what about on the price side? Would the same thing be true there, the increase attributable to that annualizing, or were other things driving that?
David King: Bill, it’s Dave. No, the price impact of the annualization was not material to the overall price. There were, as we mentioned, three components to the price growth, which was largely driven by mix and then the acquisitions that we completed that were at an average revenue per requisition that was above the overall segment average.
Bill Bonello: Perfect. Thank you very much.
Operator: Our next question comes from Michael Cherny with Evercore ISI. Your line is open.
Michael Cherny: Good morning, guys. Congrats on a nice quarter.
David King: Thank you, good morning.
Michael Cherny: So first just on the Covance Drug Development side, really nice sequential improvement. You talked about, from what I can see at least, improvements in all three key segments. Is there any unifying factor that drove the improvements, or maybe if you can give a little more color within early development versus clinical and central lab, kind of what you saw as the key components particularly in areas like central lab, where I know you had some issues earlier in the year with more kit mix and stuff that was out of your control versus actual health of the business.
Deborah Keller: Good morning, this is Deborah Keller. So yes, you’re right - all three of our service lines had constant dollar sequential growth this quarter, and I would say it was led by central lab, which as you said was roughly flat in the first half of the year. They had a substantial increase in their kit volume which is driving a much strong growth rate in Q3. Early development also is strong, and they had those nice incremental drop-through as well. So in our central lab, back to that, we had record level kits both in and out, and we had an increase in our testing volume as well. As far as clinical, we had good sequential increased growth rate and strong orders for the quarter.
Michael Cherny: Great, thanks Deb. Then Dave, just one question for you. Since the last call, there’s been a lot of moving pieces in terms of the true value, I think, of the lab. Obviously you had the PAMA decision that occurred a few weeks back. You’ve had a lot of noise around your private upstart competitor and what the actual value proposition they provide is. Maybe can you use this opportunity now, given especially following these results, to kind of reestablish what makes LabCorp differentiated versus the rest of the market in terms of delivering service to the end customer?
David King: Sure, good morning, Michael. You know, first of all, I’ll just come back to something we’ve been saying for a long time, which is there is no healthcare system without laboratory medicine. We are about 3% of the overall spend. We drive 70 to 80% of the healthcare decisions. For those who have ever been to the doctor and not felt well, or have taken a child to the doctor who is not feeling well, the first question is, what do the labs say? So we feel very confident that even in a time of enormous change, the lab is always going to be absolutely central to healthcare and to the delivery of healthcare, and to patient care. Running a laboratory business well requires size, scale, scientific and medical capability and credibility, and true innovation. LabCorp has all of those things. We have an enormous infrastructure. We have enormous IT capabilities. We have a dedicated and highly motivated workforce that the number one thing they think about every day is serving the patient. We have clinicians and scientists who have been at this company for 10, 20, 30, 40 years. We have invented laboratory tests that now are standard of care in the market, and I challenge anybody else to stand up to those capabilities. Then on top of it, we are the most efficient, lowest cost, highest quality provider, and add in at the back end, Michael, that we have consistently led in innovation, whether it’s 70% of the companion diagnostics, whether it’s always having the newest test, whether it’s BeaconLBS. We have consistently been the market leaders in innovation and we will continue to be the market leaders in innovation. So this is a great business. We’ve been wise stewards of capital for our shareholders, and we look forward to great, great opportunity in the diagnostics business in years to come.
Michael Cherny: Thanks Dave.
Operator: Our next question comes from Lisa Gill with JP Morgan. Your line is open.
Lisa Gill: Great, thanks very much. Good morning everyone. I just wanted to follow up with just a couple quick questions around the Covance side. Either Dave or Deborah, can you maybe talk about two things: one, Dave, you’re talking about these incremental opportunities that you talked about on the revenue synergy side, but how do we think about the trajectory going into next year? I know it might be a little early to give specific guidance, but is it reasonable to think that this is kind of a mid-single digit grow, or how do I think about this business over the next 12 months?
David King: Morning Lisa, it’s Dave. You know, I think it is early to give guidance for next year, although I applaud you for trying. I think what I would say is if you look at the historical growth rates in this business in constant currency, it’s mid to high single digits, and the central lab has years of very strong growth and years of less strong growth. We said earlier this year when central lab got off to a slow start, that we expected it to rebound in the second half, and here we are with a very strong rebound at central lab. Early development, the incremental margin on the business is terrific, and we’re being very careful about capacity and pricing in that business. I was really pleased to see the sequential improvement in clinical revenues. Again, we’re not giving guidance, but the historical growth rate has been mid to high single digits, and that should be a good frame of reference at least to think about how the business ought to be able to perform in the out years.
Lisa Gill: That’s helpful. And then Dave, you talked about each of the three components of the revenue synergies that you had laid out when you did the transaction. You talked about patient data and winning, but how about on each of the others? Is there anything, or revenue numbers you can put around that today for companion diagnostics or diagnostic information? You said you had $15 billion of tests, et cetera, but is there any way to give us a frame as to where you are on those two components?
David King: Well, I think in my preliminary comments, I mentioned that we feel like we’ve made very good progress, and obviously that will be incorporated in the guidance as we give it, and it will be incorporated into the overall top line growth. So I would think about those things as being--they have the potential to be incremental contributors, and the question is obviously translating them from orders into revenue, and that will be part of what we incorporate into the guidance for next year and the years ahead.
Lisa Gill: Okay, very helpful, and congratulations on a nice quarter.
David King: Thank you, Lisa.
Operator: Our next question comes from Jack Meehan with Barclays. Your line is open.
Jack Meehan: Hi, thanks. Good morning. I just wanted to start with PAMA, and just curious whether you had some initial thoughts from the proposed rule that came out a few weeks ago, and then as you go through the comment period today, just where are the areas that you see as opportunity to work with CMS.
David King: Good morning, Jack, it’s Dave. So this is going to take a couple minutes, but I want to give you a comprehensive answer about PAMA. So let’s step back to why PAMA was enacted. There was an OIG report that suggested that Medicare pricing was not market competitive with commercial pricing, and Congress enacted a statute specifically around the idea of let’s fine out--let’s base Medicare on a market-based price, and let’s find out whether Medicare is market-based and if it’s not, let’s adjust it. So that was the purpose of the statute, and it was clear in the legislative history, it was clear from the floor colloquy between Senator Burr and Hatch, it was clear in the letter that they believe that hospitals were an important part of the market to consider. Now when PAMA came out, obviously hospitals were not included, and that was extremely disappointing. I would point out in the first place, there was a statutory misconstruction in the regulation because what Congress said was if over 50% of the hospital lab revenue came from the clinical lab fee schedule, that it should be included. What CMS put out was if over 50% of the Medicare revenue came from the CLFS, it should be included. Well, as I’ve already pointed out in response to an earlier question and as everybody knows, lab is about 3% of the total Medicare spend, so it is structurally impossible for lab to be more than 50% of the total Medicare revenue. The CMS also lumped the lab in with the entire hospital system in doing the calculation, which again negated any possibility that the hospitals could be included. They did that not by using the tax side [indiscernible] and the NPI, so from our perspective, CMS’ proposed regulation did not faithfully attempt to do what Congress had asked it to do. Now let me talk specifically about the decision not to include hospitals and why we think that is erroneous. The week after CMS came out with the explanation of why hospitals were not included, the Office of Inspector General released its data brief for 2014. Medicare paid $7 billion in Part B hospital lab tests - I’m quoting directly from the data brief. Hospitals received $1.7 billion or 24% of Medicare Part B payments through the clinical lab fee schedule. So let’s stop right there - hospitals that CMS said are not part of the relevant market received 24% of Medicare Part B clinical lab fee schedule payments. Physician labs received $1.3 billion or 19%, but CMS decided they are part of the market. Hospitals received 25% of the payments for the top 25 tests, which accounted for $4.2 billion of the spend, so they received an even higher percentage of the top 25 tests, and again CMS decided they were not part of the market. Furthermore, CMS cut the outpatient perspective, the OPPS, the hospital outpatient perspective payment system by 2% for 2016, and specifically stated in making that cut that it was because $1 billion of lab testing that they thought were going to go through the OPPS in fact went through the clinical lab fee schedule in 2014. CMS also stated they were reducing the OPPS not to recoup the prior overpayment but to eliminate the future overpayment, implying they expect that $1 billion to continue to go through the clinical lab fee schedule. So this is obviously a concession by CMS that significant hospital lab payments will continue to go through the clinical lab fee schedule, and it squares with what the OIG said. Now go back to what is the market, and it’s difficult for me to understand how CMS comes to the conclusion that entities that are receiving 24, 25% of the payments are not part of the market. I also just took a quick opportunity last night, because again it’s what is the market, to look at the Blue Cross Blue Shield of North Carolina website - this is publicly available data that anybody can see. A lipid panel, one of the top 25 tests, Quest and LabCorp price approximately $8 to $10, REX hospital $79, University of North Carolina $93, Duke $102. The assay of thyroid stimulating hormone - TSH, one of the top 25 tests, Quest and LabCorp $12, REX Hospital $66, University of North Carolina $86, Duke $98. That is the competitive market, and that is what Congress asked CMS to look at to determine if Medicare pricing was market-based. Again, it’s difficult to understand how CMS concluded that that data is all irrelevant. Finally, I would just point out that the timing that has been imposed here is quite unrealistic. We’re supposed to start submitting data before the final rule is even completed, and CMS is apparently going to analyze that data and put out results in 2017 based on a six-month period, even though they stated in the regulation that the year period is what would be preferable. So obviously, it’s a preliminary rule. I think you can tell from my commentary, we have a lot of comments as to the rule that CMS has promulgated, but that’s our perspective on the PAMA regulation.
Jack Meehan: Yes, thanks Dave. That was very well said. Maybe just one follow-up for Glenn on the lab business, give you a little break. The pricing growth that came through, I know some of that was related to the genomic and esoteric volumes coming through. I was surprised some of that better growth didn’t fall through on the gross margin line, so could you--and I know you talked about it being 10 BPs higher year-over-year. Just any other granularity around that would be great.
Glenn Eisenberg: Sure, Jack. Overall, as you said, the gross margin excluding the impact of Covance would have been down around 10 basis points. Included in that, you heard earlier the pilot program that we have at Beacon, which Dave commented while it’s a contributor to the revenue that we wouldn’t have had a year ago, in its pilot stage is not contributing to profitability, so that had a, call it a headwind on gross margin, so were it not for that, our gross margin was favorable. Again, most of the pricing, if you will, we’ve talked about was from the benefit of the acquisition mix up, as well as just overall, call it test mix. But overall, we feel we’ve leveraged well. We’ve leveraged the diagnostic segment in excess of 30% on the incremental revenues and saw 60 basis point improvement in our operating margin, so overall we’re getting the benefit of that additional volume as well as our continued productivity improvement and initiative through LaunchPad.
Jack Meehan: That makes sense. Thanks guys.
Operator: Our next question comes from Robert Willoughby with Bank of America. Your line is open. Robert, if you line is on mute, could you please un-mute it?
Robert Willoughby: Yes, I’m sorry. Dave, can you give us anything you can on the food safety business? You obviously did a deal there, but how are you sizing that market, the growth opportunity to margin profile, and where could that business be three to five years down the line for you? And maybe also just the synergy with the base business, if anecdotally you could point us to areas where you have a real advantage growing that business?
David King: Sure, good morning, Bob. So when we made the acquisition, we identified nutritional chemistry and food safety as a growth opportunity because it is a significantly growing market and it’s a global market. Obviously with the increase in food importation, with the increase also in the number of detected concerns about food safety, we saw this as a nice opportunity for growth. So when we looked at the business, the market size is substantial. Obviously it’s not the size of the total lab industry, but the market size is substantial - it’s in the billions of dollars of global opportunity. We look at the margin profile as being attractive, and we look at the opportunity around what LabCorp and Covance bring together as there are two aspects of the food safety business. One is the chemistry side, and the other is the microbiology side. Covance has always had great expertise on the chemistry side; LabCorp obviously from our core lab testing brings a significant amount of expertise on the microbiological capabilities and also on the infrastructure, so it’s very important to be close to the customers because the food is sitting, waiting to be shipped. So the combination of infrastructure, microbiology and chemistry really positions us, we think, to take a market leadership position. On the nutritional side, the analysis of ingredients and purity, again all of the controversy around organic food, genetically modified food, what is safe food - this is another nice opportunity for us to grow the business, and again it’s a global opportunity. We actually have a food safety lab in Singapore as well as our large lab in Madison, and we’re very, very excited about adding International Food Network and the National Food Laboratory to these capabilities.
Robert Willoughby: Can you size your opportunity maybe three to five years out, and what kind of spend you need to get there? Is it an expensive build?
David King: We have aspirations. I’m not prepared to talk about them specifically, but we have aspirations that this business will be in the nine figures in revenue - hopefully the mid-nine figures, but these are just aspirational ideas for our company. There will be some which we’ll do through acquisitions, as we demonstrated we’re ready to do with the Safe Foods transaction, and there will be some that we’ll do by organic growth. I don’t think it’s something where we think about there will be an enormous amount of investment to get there.
Robert Willoughby: Interesting, thank you.
Operator: Thank you. As a reminder, in the interest of time we ask that you please limit yourself to one question and return to the queue for any additional questions. Our next question comes from Isaac Ro with Goldman Sachs. Your line is open.
Isaac Ro: Thanks guys. Let me try one question with two parts. On the capex side, you guys tracked a little better than your guidance. Could you talk a little bit about handicapping the potential for capex to kind of run rate from here? Is there a little bit more potential for that number to come down? And then secondly, any updated thoughts on potential for, or how you’re thinking about cash returns, specifically the potential for a dividend? Thank you.
Glenn Eisenberg: Hey Isaac, this is Glenn Eisenberg. On the capex side, as you know, we’re not a very capital intensive company overall, and we continue to manage fairly tightly. We did bring down our guidance for the year based upon the current trend of capital spending that we have, and obviously the level of spending is a function of just projects and opportunities that we see, including our LaunchPad initiative where we are going through some structural investments. But overall, we’ve been tracking around, call it $70 million per quarter, and you might see that go up a little bit in the fourth quarter but still tracking at, call it around our depreciation level. As far as the cash returns, as you know, historically we’ve been a strong supporter of bringing excess cash back to shareholders in the form of share repurchases as opposed to dividends, and obviously given the acquisition of Covance and our higher leverage, we’re focused now on using some of that cash flow to pay down debt. But as the board convenes effectively every quarter, we do talk about our capital allocation, our return of capital back to shareholders. Dividends is part of the discussion, as is share repurchases, and we’ll continue to have those discussions and let you know each quarter what we do with our capital.
Isaac Ro: Got it. Thanks a bunch.
Operator: Our next question comes from Nicholas Jansen with Raymond James. Your line is open.
Nicholas Jansen: Hey guys, nice job. I just wanted to get a little bit more detail on the volume in the quarter. You’ve seen from the hospital companies, your largest competitor, talk a little bit about some level of market softness, maybe in the first half of the quarter. I just wanted to kind of get your views on the overall market trend and maybe why you’re continuing to capture market share relative to your peer group. Thank you.
David King: It’s Dave. I’ll start and then if Jay has anything to add, I know we’ll welcome that. You know, I think Jay gave a very precise explanation of why you saw the organic volume decline year-over-year. We had specifically called that out and identified it. We had nice sequential volume growth, and I attribute it to we have a great leadership team, we have a great team of people on the ground, and they are executing well. We’re seeing nice growth in the core business, we’re seeing nice growth in the esoteric business. We’re bringing new tests to market, so the only commentary we can give is I think the numbers speak for themselves. The numbers show that we’re performing very well and that volume continues to grow.
Nicholas Jansen: Great.
Operator: Our next question comes from Amanda Murphy with William Blair. Your line is open.
Amanda Murphy: Hi, good morning guys. I just had a quick follow-up question to what Lisa asked earlier. So again, recognizing you’re not giving guidance at this point, can you just put your comments in context around that high single digit, mid to high single digit growth framework for Covance in context with the Sanofi situation, because I think that a 2 to 3% headwind for you guys next year. So do you still think you can do that mid to high single digit growth on the back of that Sanofi contract situation?
David King: Amanda, it’s Dave. You know, again, we’re not guiding, and so when we come out with the guidance, we will have all the puts and takes incorporated. Again, what we said is that the historic growth rate is mid to high single digits, and Sanofi will be incorporated into whatever guidance we give. There will be other puts and takes in the businesses as well, so I don’t think we should single out any one thing and try to extrapolate what that’s going to mean to the overall guidance. We’ll give the guidance in February when we give the guidance, and we look forward to being--to over time seeing Covance achieve the growth rates that the industry historically has turned in.
Glenn Eisenberg: Amanda, maybe I’ll just add one thing, just relative to this year - and again, won’t comment or we can annualize for next year. But if you just wanted to isolate on Sanofi, you’ll obviously be able to get into our implied guidance in the fourth quarter for Covance overall, which is continued good year-over-year growth in the business. That will be impacted by Sanofi as that contract expired at the end of October, as you know having around, call it a $12 million impact in the fourth quarter, so that will impact the growth rate, if you will, by 1.8%. But obviously, we’ve got a lot of other business that’s coming in to replace that, but our guidance, if you will, for the rest of this year is inclusive with not having that contract for the last two months of the year.
Amanda Murphy: Got it, very helpful. Thank you.
Operator: Our next question comes from Ricky Goldwasser from Morgan Stanley. Your line is open.
Zach Sopcak: Hey, good morning. This is Zach Sopcak for Ricky. I wanted to go back to test mix for a second and just ask, you used to have a goal - I think it was 45% esoteric testing. Can you give an update on where you are relative to that, and if the better mix was driven by any tests in particular, like BRCA or something else that’s longer term sustainable?
Glenn Eisenberg: Zach, this is Glenn. I’ll give you the other ones. Clearly growing esoteric is one of the main strategies of the company with the new tests that we’re developing, and it continues to grow and we’re seeing favorable test mix from that area. It hasn’t quite gotten to, call it the 40% of the company. It’s still kind of an aspirational goal, but it’s moving in the right direction.
David King: This is Dave. I would say the major drivers of growth in the esoteric category were continued strong performance in new swab, BRCA, non-invasive prenatal testing. We actually even in the quarter already started to get orders for the companion diagnostics that we mentioned in the prepared remarks, so there was nice progress across the board.
Zach Sopcak: Got it, thanks. And then can I ask you guys on the bad debt improvement? Can you give any color how much of it was driven by Project LaunchPad versus just overall more coverage from the ACA?
Glenn Eisenberg: This is Glenn. We continue to focus a lot from our LaunchPad initiative into cycle management and in particular one of the key aspects is the bad debt. We continue to see the rate coming down. We came in on the diagnostic side probably around 30 basis points year-over-year, so even though our, call it our volume, our revenue is going up, our bad debt expense is going down, so the savings on the rate is even greater because you’re still getting obviously new business. But overall, it’s mostly a function of, again, just the continued hard work of all our people identifying where the issues are and tackling it, and we expect to see that rate continue to improve.
David King: Yes, it’s Dave. I don’t think the ACA had a material impact this year. I think most of the ACA benefit in terms of enrolment has annualized, so as Glenn said, I think it’s LaunchPad, it’s sustained and focused effort by our revenue cycle management team, and it’s just really good, diligent, hard work on the ground to collect the monies that are owed to us.
Zach Sopcak: Great, thank you.
Operator: Our next question comes from Bill Quirk with Piper Jaffray. Your line is open.
Bill Quirk: Great. Thanks, and good morning everyone. I guess a two-part question. The first is just an update on BeaconLBS - when might we see that move out of the pilot program in Florida? I guess not necessarily assuming it’s going to go national right away, but just kind of curious what the latest thoughts are there. And then secondly, on the $30 million in cost synergies that you guys have dialed in over the past two quarters, it strikes me that the $100 million target by 2017 is a little conservative, so I’d love to hear some color on that as well. Thank you.
David King: Bill, it’s Dave. I can answer the first part of the question quickly, and that is on BeaconLBS, we continue to have discussions about expanding to additional markets and with additional customers. We feel great that the BeaconLBS is proving out exactly as it was designed to, and I compliment the BeaconLBS team on, again, great effort, great execution, great accomplishments, and we’ll look forward to updating you as we enter new markets and agree to new business opportunities with new partners.
Glenn Eisenberg: Bill, this is Glenn. On the Covance cost synergy side, our target still is the $100 million over the three years. It’s going to be weighted a little differently as we go--
David King: One hundred and fifty.
Glenn Eisenberg: This is the Covance--
David King: Oh, I’m sorry - Covance. I thought he was talking about LaunchPad. My apologies.
Glenn Eisenberg: On the $100 million over the three years, it’s going to be a little bit lumpy. We obviously have gotten a lot of benefits early on by taking out the redundant public company costs, leveraging the purchasing power of our two businesses, but it will take some time further to get through the lab consolidation, so that’s why it’s a little bit more back-ended as we have to continue to finish through all the trials that are being done in those facilities. So we’re off to a very strong start. We expect it to continue to improve year-over-year, but we’re looking still at the, call it $100 million over the three years. I’d be remiss, because Dave’s sitting next to me, that we always strive to exceed the targets that we’ve established, but we’ll do that after we first achieve the targets that we’ve established.
Bill Quirk: Understood. Thank you.
Operator: Our next question comes from Whit Mayo from Robert Baird. Your line is open.
Whit Mayo: Hey, thanks. Wanted just to go back to the capex question just for a second. Your original range at the beginning of the year was about 325 to 350, and you dialed it down to 250 to 275 over a couple of quarters. I guess I’m just curious what the biggest difference is between then and now. I understand and can appreciate that some projects can get pushed out and delayed, but just trying to get a sense of what we should see going forward, and whether or not any of these perhaps delayed projects pick up into next year.
Glenn Eisenberg: Whit, this is Glenn. Needless to say, when we put together our plan and our guidance in the early part of the year, it’s with going through a business planning process with the businesses identifying where they feel there are capital investment opportunities in addition to just the normal maintenance and so forth. So we start off with that premise, but as the year unfolds, we continue to look at each of the investments and we look at it relative to others - some new ones will come in, some other ones may get deferred based on timing. But the level of spend that we have, we feel is in line with our averages. We’re actually spending less this year than in prior years if you looked at it on a pro forma basis, which is positive, and we’ve always said we would trend a little bit to that because both companies in fact have made some sizeable investments in systems, facilities and so forth. But we’re comfortable with the spend, as you can see by our implied guidance. We expect a higher spend in the fourth quarter than we did over the last couple. Hopefully we’ll be below that, but we continue to evaluate each project as a standalone investment and we make the decision whether or not we’ll go forward. But we see a lot of good opportunities to invest that capital.
David King: Whit, it’s Dave. I would just add parenthetically, we are not under-spending or starving the businesses of capital to reduce the number. We’re being very thoughtful about how we invest the capital, but it’s not that we’re pushing projects out that are going to come back next year. It’s that we’re looking at every single project rigorously and saying, do we need to spend the capital dollars here or are there better places to deploy it?
Whit Mayo: Yeah, no I was--I mean, the free cash flow is just getting to be a pretty big number, so just trying to make sure people appreciate that. I guess my last question is I think you’ve got maybe a $250 million senior note due this year, and just curious if those were gone now and do you plan to be in the market to refinance those, or just take them outright altogether? Just thoughts on that would be great.
Glenn Eisenberg: Sure, Whit. This is Glenn. We have $250 million of bonds that are due in December of this year, and our current intention is to use cash on hand to pay down the debt.
Whit Mayo: Great, thanks a lot.
Operator: Our next question comes from AJ Rice with UBS. Your line is open.
AJ Rice: Hi everybody. Just two quick questions. I appreciate the commentary around PAMA and the frustration with the hospitals not being included. I’m just curious - if you take the proposal as is, CMS has put in there an impact analysis of about a 4.5% cut in 2017. Do you have any reaction to that impact as the average cut to the industry would experience, and then is there any commentary on the 2016 proposed rule which has also come out, any opportunities or challenges that creates?
David King: AJ, it’s Dave. It’s hard to size the 4.5% assessment that CMS gave, obviously because we’re not privy to the data that they used to analyze it; however, it does reinforce something we have been saying all along, which is we don’t see a draconian negative outcome here for the industry. So it does reinforce our sense that this is not the doomsday scenario that many people had painted. In terms of the rest of the proposed 2016 rule, we are looking at it carefully. Obviously there are some proposed changes around drugs and abuse testing, there are some proposed changes around next-gen sequencing, there are some proposed changes around panels. None of them appear to be material to us at this early stage, but we will continue to analyze them and obviously file comments as appropriate.
AJ Rice: Okay, thanks a lot.
Operator: Our next question comes from Gary Lieberman with Wells Fargo. Your line is open.
Gary Lieberman: Good morning, thanks for taking the question. Maybe if you talk about commercial pricing a little bit, where you are in your contract negotiations, and then is there any potential for any fallout from the PAMA decision sort of working its way through commercial reimbursement?
David King: Gary, it’s Dave. I’ll let Jay comment on the commercial negotiations. I don’t see the PAMA rule having an impact on commercial pricing, with the exception of one very small area, which is there are some Medicare Advantage plans that are tied to the Medicare fee schedule. As I say, it’s a very, very small part of the business. Other than that, our negotiations with commercial payors are based on value, they are based on individual CPT codes. They are not--obviously the Medicare fee schedule is always a frame of reference, but they are not based on that fee schedule. So I always say, when the Medicare fee schedule goes up, that doesn’t get us an increase with the commercial payors, and when the Medicare fee schedule goes down, that doesn’t get us a decrease.
James Boyle: Gary, the only thing I would add on the commercial pricing is obviously we feel very good about our managed care relationships and our current contract initiatives. There are no major contracts that are coming up through the end of this year. We have great relationships with our managed care partners and we feel great about the opportunity to continue to provide them with the level of service that we have.
Gary Lieberman: Great. Maybe if I could ask a follow-up, Dave, you’ve talked a lot in the past about how the value proposition is so strong for LabCorp. We’re seeing at least some movement towards accountable care models and some bundled payment models. Are you seeing any benefit from that, or do you think we’re on the cusp of starting to see some benefit from that?
David King: I think it’s very early days on the accountable care and the bundles. Obviously, I think right now, from my understanding, most of the bundles are just putting all the payments together and then distributing them out pretty much consistent with the status quo for the bundle. I think over time, this is a great opportunity for us. Again, as the highest quality and most efficient provider, and as the bundles start to include more services without more dollars behind them, reference back to my observation about the commercial pricing for hospital laboratory services earlier. People are going to look for the highest quality, highest value service, and we’re going to be in a position to provide that. So I think we’re going to continue to see volume shifting and share moving in our direction as a result of that change in the marketplace.
Gary Lieberman: Great, thanks a lot.
David King: Excuse me, Operator. It’s right at 10 o’clock. We have four questions in the queue, so we’ll do the lightning round here; but let’s please try not to ask questions that have previously been answered. Thank you.
Operator: Our next question comes from Donald Hooker with KeyBanc. Your line is open.
Donald Hooker: Great, good morning. So real quick, I guess maybe the pre-clinical sort of toxicology business. I know it’s small, but there’s a lot of leverage there, I think, over time, so can you talk a little bit about some of the trends in pricing and how much capacity you have there over the next couple years? How long can you grow that business before you need to add capacity?
Deborah Keller: Okay, thanks. This is Deb. Globally, we’re at about 70s as far as capacity. Utilization in the U.S. is slightly higher and Europe is a little bit lower. Obviously we’re glad to see our capacity filling. It’s a much improved situation versus a few years ago. We do run a global business and that’s been to our advantage, because it allows us to move studies around to maximize our capacity globally, and that way we can leverage it. We do monitor our capacity obviously daily. As far as pricing, we’ve seen some low single digit price increases generally speaking. It’s different for different types of studies and in different parts of the world, and again it’s much better than the price decline we’d seen a few years ago. With our global capacity, we do have some flexibility about capacity additions.
Operator: Our next question comes from Dave Francis of RBC Capital Markets. Your line is open.
Dave Francis: Hey, good morning and congrats on the quarter. Real quick, bigger picture for either Dave or Deb, given some of the political and median noise around drug pricing and marketing that some of your customers are experiencing right now on the drug development side of the business, are you seeing any change in their behavior or your type of discussions with them relative to some of the things that they are dealing with there real time? Thanks.
Deborah Keller: Yes, this is Deb. I’ll start out and then I’ll turn it over to Dave. You know, as far as from an early development standpoint, our orders continue to be strong from all segments - emerging, midsize and large pharma, so at least thus far we’ve not seen it impacting.
David King: And I’d just quickly add, the drug development business is about innovation, and innovation is going to continue to be the answer to improved delivery of healthcare. So we don’t see any reason why the current controversy should affect the desire over the long term for innovative drugs to market and for Covance being an absolutely essential part of bringing innovative new medicines to patients.
Dave Francis: Great, thank you.
Operator: Our next question comes from Brian Tanquilut with Jefferies. Your line is open. Brian, if your line is on mute, can you please un-mute it? He may have pressed the star, one key in error. We’ll move on to the next question. Our next question comes from Mark Massar with Canaccord Genuity. Your line is open.
Mark Massar: Hey guys, thanks. So your large competitor commented that they saw utilization dip. Wanted to ask if you agree with that assessment, if it was anything beyond the customary July-August seasonality from the summer; and secondly, Dave, can you comment on your update--or, can you update your commentary on launching a direct-to-consumer business by the end of this year?
David King: Yes, first of all, we don’t comment on other people’s comments, so we commented on our results and, as we said, we had a very strong quarter from a volume perspective and we’re very pleased with the outcome there. In terms of the direct-to-consumer business, we have always said that when we launch our direct-to-consumer business, it’s going to be responsible, it’s going to be compliant, it’s going to focus on the LabCorp quality and service with the medical and clinical support that we have always provided in our business-to-business, if you will, side of the business with physicians and hospitals, and other customers. So we think the direct-to-consumer opportunity is important, it’s a market that is growing, and consumers are more and more engaged in healthcare. But as we always do, it’s going to be done in a clinically, medically and regulatory compliant fashion, and we are excited about the opportunity.
Mark Massar: Thank you.
Operator: Thank you, that concludes the Q&A session. I will now turn the call back over to Dave King, CEO for closing remarks.
David King: We thank you for joining us this morning, and wish you a great day.
Operator: Thank you. Ladies and gentlemen, that does conclude today’s conference. You may all disconnect, and everyone have a great day.